Operator: Good morning and welcome to the third quarter 2012 Dover Corporation earnings conference call. With us today are Bob Livingston, President and Chief Executive Officer; Brad Cerepak, Senior Vice President and CFO, and Paul Goldberg, Vice President of Investor Relations. After the speakers’ opening remarks, there will be a question and answer period. [Operator instructions] As a reminder, ladies and gentlemen this conference call is being recorded and your participation implies consent to our recording of this call. If you do not agree with these terms, please disconnect at this time. Thank you. I would now like to turn the conference over to Mr. Paul Goldberg. Mr. Goldberg, please go ahead, sir.
Paul Goldberg: Thank you, Paula. Good morning and welcome to Dover’s third quarter earnings call. Today’s call will begin with comments from Bob and Brad on Dover’s third quarter operating and financial performance and follow with our outlook for the remainder of the year. We will then open the call up for questions. As a courtesy, we kindly ask that you limit yourself to one question with a follow-up. Please note that our current earnings release, investor supplement and associated presentation can be found on our website, www.dovercorporation.com. This call will be available for playback through October 31 and the audio portion of this call will be archived on our website for three months. The replay telephone number is 1-800-585-8367. When accessing the playback, you’ll need to supply the following access code: 37297489. And before we get started, I’d like to remind everyone that our comments today, which are intended to supplement your understanding of Dover, may contain certain forward-looking statements that are inherently subject to uncertainties. We caution everyone to be guided in their analysis of Dover Corporation by referring to our Form 10-K for a list of factors that could cause our results to differ from those anticipated in any such forward-looking statements. Also, we undertake no obligation to publicly update or revise any forward-looking statements except as required by law. We would also direct your attention to our website where considerably more information can be found. And with that, I’d like to turn this call over to Bob.
Robert Livingston: Thanks, Paul. Good morning everyone and thank you for joining us for this morning’s conference call. Before I get to our third quarter results, I’d like to share a few observations on the macro environment during the quarter. During our last quarterly call, we discussed the significant decline we had experienced in Europe and moderating activity in China. We also saw North American markets as mostly stable. Ninety days later, I would say these trends are generally continuing. Europe has remained at a low level, though the weakness is broader-based than last quarter. China has weakened, especially with respect to the electronics markets. The bright spot this quarter again was U.S. industrial activity. In summary, these conditions result in moderately slower global growth rates as we enter the fourth quarter. Now some comments on our third quarter results. We posted revenue of 2.2 billion in the quarter, an increase of 3%. Our third quarter EPS of $1.32 was an 11% improvement over the prior year, largely driven by strong leverage on volume. In our energy segment, expanding production activity and strong downstream investments in distribution and retail fueling are among the trends that drove excellent business results in the quarter. Our drilling results were impacted by the lower year-over-year North American rig count, though rig count did increase sequentially. Overall, energy’s performance was characterized by continuing growth and strong margins. We expect these trends to continue in the fourth quarter. At our communication technology segment, several handset OEMs launched new products towards the end of the quarter, which drove solid sequential results. Our MEMS activity was very strong, reflecting the breadth of our OEM coverage and the benefits of multiple design wins. The challenges at Sound Solutions led to lower revenue than expected. This along with normal seasonality in the handset market will continue to impact results through year-end. While I was disappointed with our performance at Sound Solutions, we continued to work through significant business transitions and are making substantial progress. I firmly believe we will make further progress in this important business in the coming months. Within our engineered systems segment, refrigeration and food equipment markets remain quite solid and our business performance was strong. Regarding our fluids platform, markets remain much the same as last quarter, highlighted by the excellent results of recent acquisitions. We expect the segment’s fourth quarter results to reflect the normal seasonality of our refrigeration markets and slightly moderating macro growth trends. Within our printing and identification segment, strong organic growth in our fast-moving consumer goods market, along with the benefits of our second quarter restructuring, helped drive solid margin performance. The China electronics equipment market weakened through the quarter and was below our prior expectations. We believe this trend will continue and now project this segment’s performance to be lower in the fourth quarter. Overall, the strong market positions of our businesses and productivity initiatives enabled us to deliver third quarter segment margin of 18%. During the quarter, our acquisition pipeline developed nicely and we have several deals that have matured and are actionable. I remain bullish on our five growth spaces and am enthusiastic with the strategic add-ons in our pipeline. In summary, the majority of our businesses performed very well. I am quite pleased with our third quarter results and the responsiveness of our businesses. As we enter the fourth quarter, the softening global economy, especially impacting electronics, and lower volumes at Sound Solutions result in an outlook that is less than we expected at the beginning of the third quarter. We remain focused on our growth initiatives and investments, select restructuring activities, and the pursuit of strategic acquisition opportunities, all of which will help deliver further earnings gains in 2013. With that, let me turn it over to Brad.
Brad Cerepak: Thanks, Bob. Good morning everyone. Let’s start on Slide 3 of our presentation deck. Today we reported third quarter revenue of 2.2 billion, an increase of 3% over the prior year. This was comprised of 1% organic growth, 4% from acquisitions, and an unfavorable impact of 2% from foreign exchange. EPS was $1.32, which included a small benefit from discrete tax matters settled during the quarter. After adjusting for minor tax benefits realized in the third quarter of both periods, EPS improved 10% over the prior year. Segment margin for the quarter was 18%, an increase of 100 basis points. This result reflects solid performance in all segments and the absence of one-time acquisition-related costs incurred in the third quarter of last year. Bookings increased 1% over the prior year to 2.1 billion. These results represent solid 6% growth in energy and modest increases in both communication technologies and engineered systems. In printing and identification, bookings decreased 10% as further weakness in electronics markets impacted the segment. Overall, book-to-bill finished at 0.94, in line with normal seasonality. Backlog grew 6% to 1.5 billion. In the third quarter, we generated 230 million of free cash flow, or 10% of revenue. We expect free cash flow for the year to be roughly 10% of revenue. Now turning to Slide 4 and our revenue growth. Organic growth remained solid at engineered systems and energy, achieving 4% and 3% respectively in the quarter, reflecting strong performance in the food equipment production and downstream markets. Communication technologies’ organic revenue declined 1% while printing and identification decreased 6%. For the quarter, acquisition growth was strong at energy and engineered systems as they both posted 8% and 7% growth respectively. Turning to Slide 5 and our sequential results, revenue increased 2% from the second quarter with three of our four segments showing sequential growth. Communication technologies increased 10% primarily driven by the handset market. Energy increased 4% led by the production in downstream markets. Engineered systems showed modest sequential growth of 1%. Printing and identification declined 3%. Bookings decreased 3% sequentially from the second quarter, in line with historical trends. Growth of 8% in communication technologies was led by the handset and aerospace markets. Engineered systems bookings declined 8% sequentially, largely reflecting the normal seasonality of our refrigeration markets. The sequential bookings decline of 4% in printing and identification was primarily driven by continued weakness in the electronics markets. Energy bookings declined 1%. Now on Slide 6, communication technologies posted revenue of 396 million, a decrease of 2% from the prior year. These results reflect modest revenue declines in all end markets, with the exception of aerospace industrial. Within the handset market, very strong MEMS activity was offset by lower volume at Sound Solutions. Earnings increased 19% to 64 million and segment margin improved 290 basis points to 16.1%. This performance reflects strong leverage on MEMS volume, weaker results at Sound Solutions, and the absence of one-time costs associated with acquisitions completed in the third quarter of last year. We expect segment revenue and margin to moderate sequentially in the fourth quarter on anticipated lower volumes, primarily due to seasonality and mix. Bookings were 412 million, essentially flat with last year. Book-to-bill finished at 1.04. Turning to Slide 7, energy revenue increased 10% to 562 million while earnings increased 11% to 139 million. Energy produced another solid quarter as oil prices remained supportive of continued production activity and downstream markets remained strong. Rig count declined year-over-year, impacting our drilling business. Our focus on international growth coupled with the diversity of our end markets allowed us to post another quarter of strong revenue growth in both production and downstream. Operating margin was 24.7%, a 20 basis point improvement. Bookings were 527 million, a 6% increase over the prior year. Book-to-bill was 0.94. Now on Slide 8, at engineered systems sales were 892 million, an increase of 8% year-over-year. Earnings improved 15% to 144 million. Fluid solutions revenue grew 26% to 218 million, benefiting from recent acquisition. Fluid solutions organic revenue was flat with solid results in North America and Asia offset by a weak Europe. Refrigeration industrial grew 5% organically to 674 million. Revenue gains were broad-based with Hill Phoenix posting a quarterly record for revenue. Operating margin was 16.2%, an increase of 100 basis points from the prior year. This was primarily driven by solid operating performance and our focus on cost improvements. Bookings were 798 million, an increase of 3% resulting in a book-to-bill of 0.89. Our fluid solutions platform bookings increased 13% to 198 million. Refrigeration industrial was essentially flat with last year at 600 million. Book-to-bill for fluid solutions was 0.91 while refrigeration industrials was 0.89. The segment book-to-bill principally reflects the normal seasonality of the refrigeration market and softer European and Asian markets. Now let’s turn to Slide 9. Printing and identification revenue was 358 million, a decrease of 11% from the prior year. Earnings decreased 14% to 51 million. Gains in our consumer goods markets helped to partially mitigate the continued softness in our electronics markets as well as unfavorable foreign exchange. Our electronics markets were down over 30 million year-over-year. Excluding the impact of foreign currency, organic growth in the fast-moving consumer goods end market was 6%. Operating margin declined 40 basis points to 14.4%. The benefits of prior restructuring and continued cost improvements largely offset significantly lower volume in electronics. Looking forward, we do not see a near-term recovery in the electronics markets. Bookings were 343 million, a decrease of 10% from last year. In the consumer goods and industrial markets, bookings increased 1%, excluding the impact of foreign exchange. Book-to-bill ended at 0.96. Moving to Slide 10, third quarter net interest expense was generally in line with expectations. Corporate expense decreased by 2 million year-over-year. Our third quarter tax rate was 27.9%. This rate was slightly higher than our prior forecast and largely impacted by mix of geographic earnings. This rate also included a $0.02 benefit from the resolution of discrete tax matters. Our CAPEX spend for the quarter was 69 million and we repurchased 4.3 million shares since our last call. Now turning to Slide 11 and our 2012 revenue guidance. We now expect full-year revenue growth of around 7%. Organic growth is estimated to be about 3%, including a negative 2% impact from foreign exchange. Completed acquisitions will add around 4%. Breaking down revenue growth by segment, we expect communication technologies growth to be around 11% for the year, about seven percentage points lower than our last guidance. The main drivers of this change are OEM launch delays and lower volumes at Sound Solutions. Energy growth is expected to be approximately 16%, largely unchanged from our prior forecast. Engineered systems is forecasted to grow around 9%, again in line with our prior expectations. Lastly, within printing and identification a weakening electronics market is driving our revenue forecast down one percentage point. We now expect revenue to decline around 9% for the year, inclusive of a 3% unfavorable impact from foreign exchange. Now on Slide 12, which shows our full-year guidance. As previously mentioned, we now expect revenue growth to be around 7%. Corporate expense decreased slightly while interest expense and CAPEX remained substantially unchanged. We now expect our 2012 tax rate to be 27.9%, reflecting changes in the mix of geographic earnings. Based on the above, we expect our full-year earnings per share from continuing operations to be $4.55 to $4.65. Now let’s go to the earnings bridge on Slide 13. As a reminder, 2011 EPS was $4.26 after adjusting for $0.22 of discrete tax benefits. Volume, mix and price will contribute roughly $0.24 to $0.30 for the full year, down about $0.06 from our last forecast. Net productivity will add $0.20 to $0.24. Investment and compensation is now about $0.05, a $0.06 adjustment from our last forecast. We expect completed acquisitions to be about $0.14 dilutive for the year, down from our prior forecast. This revision largely reflects the impact of Sound Solutions. On a net basis, the impact of corporate expense, interest expense, share count and our tax rate is largely unchanged from our prior forecast. The net result is full-year EPS of $4.55 to $4.65. With that, I’ll turn the call back over to Bob for some final comments.
Robert Livingston: Thanks, Brad. As I mentioned earlier, I am very pleased with our third quarter performance. We delivered strong earnings growth in a tough environment. This is a testament to the strength of our businesses and the responsiveness of our leadership teams across the company. As Brad just mentioned, our fourth quarter outlook has been reduced. I expect a few of our highlights for the quarter to be further progress at Sound Solutions, continuing strong gains in our MEMS business, continued strength in energy, and a continuation of our focus on cost reduction via select restructuring activities. Our reduced guidance does not change my conviction on the long-term growth opportunities before us. Looking ahead to 2013, I remain confident in the positions we hold in our five key growth spaces. Our focus in energy, fluids, refrigeration and food equipment, product identification and communication components offer us substantial growth opportunities. I look forward to sharing specific details regarding 2013 at our investor day conference in New York on December 10. In closing, I’d like to thank our entire Dover team for their hard work and dedication. Their focus on serving customers and achieving results will continue to drive Dover’s success. With that, Paul, let’s take some questions.
Paul Goldberg: Thanks, Bob. At this point, I’d like to remind the callers that we would kindly ask that you limit yourself to one question and a follow-up so we can get more callers on the call. Paula, can we have our first question, please?
Operator: Your first question comes from the line of Shannon O’Callaghan with Nomura.
Shannon O’Callaghan – Nomura: Good morning, guys. So Bob, we’ll start with – surprise! – Sound Solutions. Can you explain—you know, take another crack maybe in a little more detail. You’ve got the Vienna facility at Sound Solutions that’s very good at high throughput automation. You’ve got Knowles people who know how to do high-flex automation very successfully, and I know it’s slightly different what you’re trying at Beijing Sound Solutions, but can you explain in a little more detail why you think you’ve had such trouble with that and why you can’t better leverage the knowledge base of those other parts of the company to get the yields up.
Robert Livingston: Okay, wow – that’s about four questions, Shannon.
Shannon O’Callaghan – Nomura: Well, it’s all one topic.
Robert Livingston: All right. So let me back up to about 15 months ago and just highlight what I would label as the three primary objectives we had as we entered the third quarter right after the acquisition of Sound Solutions. We knew we were dealing with the significant change in the marketplace with Nokia and a couple of other OEMs, but objective number one was aggressively pursued design wins with new OEMs. I would say objective number two sort of goes to the heart of your question, which was a significant manufacturing transition in the Beijing operation with a focus on the high-flex automation. And the third objective would be to work the new designs quickly to drive yield improvements and volume. Shannon, the execution on all three of these objectives has been slower than I expected, slower than we expected, and it has been disappointing. Your question about the capability we have both in Vienna as well as the Knowles team is true. In fact, as we exited the second quarter, early part of the third quarter, we did start to make some management transitions in Beijing; in fact, the general manager of Beijing now, the operations manager, I think the quality manager and probably about five other key leadership positions have been changed since the end of the second quarter with Knowles China personnel taking over responsibility for these positions. So now let’s comment on the third quarter. I think we’ve learned a lot in the first six months of this year. I think those learnings, along with the management transitions that we started to make at the end of the second quarter and into the early part of the third quarter, we have seen some progress. On the high-flex lines, we like what we have and we feel we made the right decision. We’ve had lots of learning between Line 1 and where we are today, but I would also label that this high-flex automation objective as no longer a challenge. Our yields continue to improve. We had significant during the third quarter, more in the latter part of the third quarter than we did in the early part, and we will continue to make more progress in the fourth quarter. The volume has been lower than expected, but I also expect it to continue to increase. Shannon, I’d share one further comment, and it has less to do about performance and more to do with sort of the outlook for this business. As focused as we have been in the last six months on bringing up the high-flex automation and improving our yields, we are already working on several new designs for 2013 OEM product launches; and actually, a couple of the key designs are actually scheduled for first quarter qualification tests, and we’re on schedule.
Shannon O’Callaghan – Nomura: Okay, that’s really helpful. Thanks. And then just one more from me, just on balance sheet – I mean, nice to see a little over 4 million of share repurchase in the quarter. It sounds like you’re also feeling good about the acquisition pipeline. You have the free cash flow on the balance sheet to kind of do them both. How are you thinking about those into the end of the year and next year?
Robert Livingston: I’ll take that question. Again, I think at the price and the multiple on our stock right now, we find it very attractive; and therefore in the quarter, we did go ahead, as we’ve been saying, and buyback ahead of dilution more so than we did even last year. That’s obvious at 4.3 million shares purchased. I would say we continue to make an assessment of what’s in our deal pipeline all the time and the price of our stock. At this time, though, I would say we would expect to continue with some modest share repurchases into the fourth quarter. We like what we’ve done in the second quarter and I think we’ll continue to do that.
Shannon O’Callaghan – Nomura: Okay, thanks a lot, guys.
Operator: Your next question comes from the line of Charlie Brady at BMO Capital.
Charlie Brady – BMO Capital: Hi, thanks. Good morning guys. Just to go back to Sound Solutions for a minute, and I guess specifically on the OEM launch and some of the yields on some of the products going into that. I guess I’m trying to get a sense of—I know you’re not giving 2013 guidance, but at what point does that problem linger into 2013? I mean, at what point are you anticipating the yields getting up to a level that the product is acceptable to the customer and you can start shipping that product into that OEM?
Robert Livingston: We are there now, Charlie. The yields on the new designs that we’ve been focused on bringing into production and the ramp over the last three or four months are being delivered to the customer. The customer is accepting them and is pleased with the yields, though I would also tell you we have further room for improvement on the yields.
Charlie Brady – BMO Capital: Okay, that’s great. That’s helpful, thanks. And just quickly on the energy business, on the bookings, can you kind of break it down by the three end markets? I’m assuming that the bookings on the drilling were not as strong, but maybe just give a sense of the three end markets there.
Robert Livingston: No, I actually don’t have the bookings data here for recall, Charlie. I think you go back to the comments that Brad share with you and his comments on the three sectors with respect to revenue. My guess is that the bookings followed pretty closely to the revenue pattern. We didn’t have a lot of distortion in book-to-bill between the three sectors.
Charlie Brady – BMO Capital: That’s helpful, thank you.
Operator: Your next question comes from the line of Jeff Sprague of Vertical.
Jeff Sprague – Vertical: Thank you. Good morning everyone. Hey Bob, just to follow up on that last point – so yields are now acceptable on speakers and receivers, and you’re shipping into the new customer. Is that something that happened in the quarter? Is that an October event?
Robert Livingston: No, let’s see. Part of the product activity would have—I’m going to say late August. Late August, we had product going into the customer’s, I call it hub, late August. Everything that we have been able to manufacture, in other words full capacity, what we’ve been able to manufacture and ship into the hub since the end of August on speakers has been pulled and placed into product.
Jeff Sprague – Vertical: But not receivers?
Robert Livingston: Pardon?
Jeff Sprague – Vertical: But not receivers?
Robert Livingston: On receivers, we’re probably 30 days beyond that.
Jeff Sprague – Vertical: But you’re now shipping?
Robert Livingston: We’re now shipping.
Jeff Sprague – Vertical: So just thinking, then, about the guide reduction, the guide reduction is no longer about your inability to deliver, I presume. It’s solely on OE volumes, or do you think your share was somewhat impaired for a while because of the initial disruptions with the business?
Robert Livingston: Okay, so let me—in case there maybe a misconception here. On our guidance down, Jeff, we’re actually—included in our guidance, we actually have a modest revenue increase in the fourth quarter for Sound Solutions sequentially.
Jeff Sprague – Vertical: You do? Okay.
Robert Livingston: So it’s not a decline. We’ve got a modest increase in revenue in the fourth quarter, and an increase in operating earnings. More importantly, I would say less of a loss, okay? The concern we have in this handset business for the fourth quarter is that December is always such a wildcard. We truly do not have visibility into the month of December on what—we know what the production forecast looks like right now. Our experience has been that December can have some wild movements.
Brad Cerepak: I would just add the sequential growth that we originally talked about in the last call—
Robert Livingston: This is modest.
Brad Cerepak: This is modest now. This is, you know, mid-single digits growth sequentially. And again, I would say where we were 90 days ago as to where we are today, we are shipping, as Bob has indicated. We are booking revenue, and we have line of sight now on where we are in Sound Solutions. But a lot of room for improvement.
Robert Livingston: Yeah, still a lot of room for improvement, but if I could add any color to that with respect to, I’ll label it as risk assessment, I actually—when we look at what we have in our guidance for Sound Solutions and the fourth quarter, sitting here now I would tell you that there is—we feel there is very, very little downside.
Jeff Sprague - Vertical: I’ll call it a second and a half question – I’m sorry – as a follow-up. You did speak to kind of the improvements late in the quarter. Just to your very point you made there, Bob, is there something kind of in the monthly book-to-bills or something that can give us a little more comfort on that, to the extent that you can share any additional color? And I’ll move on, thanks.
Robert Livingston: I don’t have monthly book-to-bills. I’m not sure I could share anything else on the order rates. We did have a positive book-to-bill for Sound Solutions in the third quarter. That would be expected, and I would label it as normal. As I said, we are shipping what we can produce, and the customer is pulling it from the hub and it’s going into product.
Jeff Sprague – Vertical: Great, thank you very much.
Operator: Your next question comes from John (Inaudible) of Deutsche Bank.
John – Deutsche Bank: Morning everyone. I want to ask Brad about the guide on the acquisition line. So the minus $0.14, it was $0.03 to $0.05. So I think this is sort of a down 40 to 50 million of OP if you just run the basic math. Bob, I think you had commented before that Sound Solutions had lost maybe 12 to 16 million pre-tax in the first half. If it’s actually sequentially getting better, it doesn’t seem to bridge the down $0.14. And I appreciate your comments around December; I’m just trying to understand. Brad, you implied the bulk of that was Sound Solutions. What am I missing? How do you get to the down $0.14?
Brad Cerepak: Okay, no I think—it is, the bulk of it is Sound Solutions. It has a lot to do with this change in the revenue line. You’ll recall coming out of the second quarter, we were looking at sequential growth at Sound Solutions of between 20 and 25%. Our sequential growth going out of the second quarter into the third on Sound Solutions was very modest at around 6%. We see modest again into the fourth quarter. That volume reduction is very, very significant, especially with respect to the cost structure of Sound Solutions. They incrementally convert very, very high on the upside and likewise on the downside, and so that impact is entirely related to our expectations going out of the second—in the second quarter, what we expected in the second half for Sound Solutions.
John – Deutsche Bank: So there’s a—I think I get it. It’s high fixed cost. So if the trajectory based on what you are describing holds, and I kind of get the sense that Sound Solutions’ progression will be sort of linear, right? It’s going to progressively continue to improve. What kind of a run rate does this imply in terms of revenue and contribution on profits for 2013? And you don’t have to be specific, but just in general what kind of a trajectory?
Robert Livingston: Well, it will continue to improve, John. Our operating results and including in our top end guidance at the high end of the range for Sound Solutions in the fourth quarter is essentially break-even.
John – Deutsche Bank: Okay. So post-that, that means Sound Solutions makes money each of the following four quarters. That would be your expectation?
Robert Livingston: That would be our expectation.
John – Deutsche Bank: And just lastly, you guys commendably repurchased your shares. Is sort of a 2% net reduction kind of a decent placeholder to think about throughout next year, recognizing that there is some dilutionary impact and obviously you want to opportunistic with M&A. But is that your thinking at this point, or is it just more of a—you just want to be a little bit more opportunistic this quarter based on, who knows, cash flow timing or something else.
Robert Livingston: You’re asking about ’13, our thoughts on ’13?
John – Deutsche Bank: Yeah.
Robert Livingston: I would look back to what we did in ’11 to be maybe as a baseline for ’13, which means we would continue to stay above dilution. I think we were a little over 2 million shares in ’11 above dilution. I think that would be a best guess at this point.
John – Deutsche Bank: Kind of 2%, then?
Brad Cerepak: One to two.
John – Deutsche Bank: Yeah, one to two. Okay. Thanks guys. Appreciate it.
Operator: Your next question comes from the line of Scott Davis of Barclays.
Scott Davis – Barclays: Hi, good morning guys. This is the first time in a couple quarters you really talked about M&A picking up, and I guess things have been kind of shut down since Sound Solutions. Is there a sense of the size range and the type of deals that you’re looking at, meaning are we focused mostly on kind of non-com tech stuff, or is there a continued build-out of your technology capabilities? I mean, just give us a little bit of sense. Obviously I know you can’t name names, but give us a sense of the type of stuff you’re looking at.
Robert Livingston: Well, I’m not going to name names, but let me correct a misstatement. You say we’ve been shut down since Sound Solutions. That’s not true.
Scott Davis – Barclays: Well, you’ve been quiet, more quiet.
Robert Livingston: Since Sound Solutions, I don’t know what the spend has been, but it’s probably 600 million.
Brad Cerepak: Five, 600 million.
Robert Livingston: Yeah, 500, 600 million, and with the two largest ones being Maag Pump that we closed on in March, and PCS that we closed on in April, and I guess Oil Lift was, what, last November or December – something like that, Paul? But to bring the comment forward, the profile of the properties, the businesses that are in the pipeline today, none are as large as Sound Solutions. The bulk of them would probably be in the 50 to $150 million range on evaluation, and let’s see – I’m doing a quick sort of nose count here as we go through this. None of them are in communication technologies. We’ve got a couple of smaller ones that we’re looking at within energy, but it’s mostly to continue our efforts to broaden and complete our artificial lift product portfolio. And I think you’ll see more of a focus over the next year or so around capital allocation within engineered systems and our printing business. And we’ll give you more color on that at Dover Day.
Scott Davis – Barclays: Sure, I understand. My follow-up question is on printing and ID. When you think about electronics, obviously slowed down markedly for you guys. I mean, is it share changes kind of stopped here, or have you lost—you know, accentuating kind of that decline is maybe some share shift.
Robert Livingston: You’re asking about electronics?
Scott Davis – Barclays: Printing and ID, and specifically on electronics since that’s the one that bled the most.
Robert Livingston: Oh no, I do not believe we are dealing with any share loss at Markem-Imaje, I would say, in the last three quarters – in the last two quarters, for sure.
Scott Davis – Barclays: So down 20%, is that—
Robert Livingston: At Markem-Imaje, we feel like we’ve got our stride back at Markem-Imaje, not only with the products and the service rates, but I would also tell you our margins, if they are not back to their historical levels of the past two or three years, they’re within just a few basis points of being there.
Scott Davis – Barclays: So down 20, just to follow up—I apologize for the follow-up, but down 20 is a much bigger number than we’ve seen historically in any of these sub-segments. I mean, is there some sort of inventory de-stock that’s occurred or something that kind of explains this? I mean, I’m having a tough time picturing that end market at the OE side being—you know, production being down a full 20.
Brad Cerepak: Are you talking about electronics, Scott?
Scott Davis – Barclays: Yes, sir. Yes, I am.
Robert Livingston: Well again, I would say it’s all electronics, and even to be more specific it’s probably much, much more weighted towards the semi and the solar part of the portfolio than it is our electronic assembly piece.
Scott Davis – Barclays: Okay. Fair enough. Okay, I’ll follow up with you guys offline. Thank you.
Operator: Your next question comes from Nigel Coe of Morgan Stanley.
Nigel Coe – Morgan Stanley: Thanks, good morning. I hate to be so predictable, but I just wanted to go back to Sound Solutions.
Robert Livingston: You’re very predictable, Nigel!
Nigel Coe – Morgan Stanley: Oh, always! So if I take your comments, Bob, that Sound Solutions could have year-over-year growth in 4Q, that’s—at least to the best of my numbers, that implies about $100 million of revenues.
Robert Livingston: Oh no, no.
Brad Cerepak: Sequential growth.
Nigel Coe – Morgan Stanley: Sequential growth – okay. I took that as a year-over-year.
Robert Livingston: No, no – sequential.
Nigel Coe – Morgan Stanley: Okay. And is that, then, a good run rate for 2013, or would you expect sequentials to improve again into ’13?
Robert Livingston: No, if you’re asking a question, would I take fourth quarter times four and accept that as a good number for ’13, the answer is no.
Nigel Coe – Morgan Stanley: Okay, no, that’s very clear. Okay. And then if we switch to the energy business, obviously we’ve seen a big divergence between production and drilling trends. You make very good margins in drilling. Does that create a mix issue as we go into 4Q and beyond?
Robert Livingston: Yes. I think we have shared this with the investor community in the past if you look at our three sectors in drilling and production and downstream, that we do have higher margins in our drilling activity than we do in production and downstream. Interestingly enough, Nigel, as we enter the fourth quarter, we actually see a bit of a sequential increase in drilling activity over the third quarter. It’s not significant, but we do see a bit of an increase. The third quarter, we did deal with year-over-year declines in rig count deployment, but we also think that what we were experiencing in the third quarter was a little bit of a squeeze out of inventory with our customers and within the channel. We happen to think that’s behind us right now.
Nigel Coe – Morgan Stanley: Okay. And so the kind of—the crux of the question really is you had this huge mix issue in 3Q, yet you showed 20 BPs of margin expansion.
Robert Livingston: Okay, don’t label it as huge. There is a mix issue, but don’t label it as huge.
Nigel Coe – Morgan Stanley: I think drilling was down materially, wasn’t it? Down 10%?
Robert Livingston: Yeah, that sounds about right.
Nigel Coe – Morgan Stanley: Okay, so therefore we shouldn’t be thinking about margins down in energy going forward?
Brad Cerepak: Not meaningfully.
Nigel Coe – Morgan Stanley: Okay, thanks guys.
Operator: Your next question comes from Deane Dray of Citi Research.
Deane Dray – Citi Research: Thank you. Good morning everyone. I wanted to dig into a couple of the discretionary spending parts of your guidance, and it looks like you’re pulling back on some investment and compensation versus previous guidance, as well as corporate expense is less of a headwind. Maybe give us some color on what you’re pulling back in terms of discretionary spending.
Brad Cerepak: Well, I would say it’s really two things. It is tightening up a little bit around what I call pure discretionary spend – you know, the normal things you would expect in that bucket called travel and other types of consultant-type expenses. But fundamentally, the downward adjustment in our investment and compensation is compensation. It’s reflective of what our current guidance is now at versus where we were just 90 days ago.
Robert Livingston: Okay, let me be more specific. It’s variable comp being adjusted.
Brad Cerepak: Yeah.
Deane Dray – Citi Research: So how much of that would be over on the investment side? You’re suggesting it is not a big pullback there.
Robert Livingston: Negligible.
Deane Dray – Citi Research: Okay. And then given the rally in the euro, you’re not big exposure there; but for the fourth quarter, what are you expecting FX and what’s the currency impact that you’re baking in?
Brad Cerepak: Well, our current view is it’s about 2% impact for total Dover for the whole year, and I think we were at 2% or so in the third quarter. I don’t see any real change in trajectory on that.
Deane Dray – Citi Research: Okay, thank you.
Operator: Your next question comes from Julian Mitchell of Credit Suisse.
Julian Mitchell – Credit Suisse: Thanks a lot. Good morning. My first question was just around the net productivity benefits. When you did the call in July, you talked about around $0.27 of tailwind for the year; now it’s $0.22. And I guess I would have thought that with the book-to-bill being down year-on-year, with the second guidance cut the productivity savings should be going up as you’re taking out costs. So just a question around that.
Robert Livingston: Well before Brad gets into a number or two, I would tell you that probably the thing from my perspective that affects that the most is lower volume.
Brad Cerepak: And that really is it – it’s lower absorption on lower volume. That’s the only thing driving it. Our productivity efforts inside Dover actually have continued to accelerate in terms of the actual project work we’re doing in productivity to take cost out, and as Bob indicated, we continue to do what I would call very selective incremental restructurings which are a little bit more broad-based in the third quarter. What I mean by that is it’s across all of our segments, including DCT and others, and we continue to look for opportunities to take cost out. Those costs actually—we put those costs, we characterize those costs included in that number as well. So it’s a little bit of that, but mostly absorption on lower volume.
Julian Mitchell – Credit Suisse: Okay, got it. Thanks. And then just the follow-up would be within printing and ID, the industrial business was down, I think, mid-single digits, stripping out currency in Q3. That is worse than what you had in Q2. You know, you called out Europe. Was Asia getting worse as well as we went through Q3, or it’s really just the European problem?
Robert Livingston: It would be mostly Europe, though let’s not ignore this – we are seeing some, call it weakening of the growth rate in China, and it is showing up in some of our businesses and it does affect this industrial piece.
Julian Mitchell – Credit Suisse: Got it. Thank you very much.
Operator: Your next question comes from Mike Wherly of Janney Capital Markets.
Mike Wherly – Janney Capital Markets: Good morning guys. First off, I just wanted to ask how big a portion of Sound Solutions’ sales are still Nokia in the third quarter.
Robert Livingston: Oh my. I’m looking at Brad. I don’t know that exact number, but I can take a guess, and I want to say it’s between 25 and 30%.
Mike Wherly – Janney Capital Markets: Okay, and that’s down from almost 40 or so coming into the year?
Robert Livingston: Oh, coming into the year? No, I think it still may have been closer to 50% at the beginning of the year.
Brad Cerepak: If not a little higher.
Robert Livingston: If not a little higher.
Mike Wherly – Janney Capital Markets: Okay. And then follow-up on the wide range of guidance with just one quarter to go. Is that all from—I mean, is most of that just the volatility from the handset market that you talked about in December, or what’s the biggest reason for such a wide range with one quarter to go?
Robert Livingston: Well number one, I’ll agree with you – it is a wide range, and we spent a lot of time talking about this and debating this, as you would normally expect us to narrow that to a nickel. Let me give you some color. I will tell you that as we sit here today, we clearly are focused on achieving and hitting the top end of the range with respect to EPS. That is our target and that is our goal. As we came through the third quarter, September bookings were the lightest month of the quarter, and I don’t think it was an aberration. September bookings was the lightest month of the quarter, and that statement is true for three of our four segments, the one exception being communication technologies. That gives us a little bit of a pause and, I call it, increases the uncertainty level as we come into the fourth quarter. I’ve got a very short data point for you, and that’s after the first two weeks of this quarter, after the first two weeks of October, the order rates and activity would have us comfortable with a minimum of the midrange of our revenue guidance. So why do we have this sort of, you know, someone could say conservative safety net at the bottom end of the range? Part of that is the uncertainty we have around the month of December with respect to our handset business. A couple of other points I would share with you is we exited the third quarter, if not with a record backlog, pretty darn close to it at Hill Phoenix. And the interesting characteristic on that backlog is a much higher percentage of their third quarter ending backlog is actually scheduled for first quarter delivery, enough so that it actually appears odd. And we have a little bit of a concern that there could be some further push-outs from the fourth quarter into the first quarter. Nothing has been signaled in the last two weeks; we just have a little bit of an elevated concern. And the third one, I would just say some unease and uncertainty around the macro environment in the fourth quarter.
Mike Wherly – Janney Capital Markets: Okay, thanks for that color. That helps a lot.
Robert Livingston: Don’t lose track of my first two comments. From an earnings perspective, we are clearly targeted and focused on delivering the top end of the range.
Paul Goldberg: Next question, please?
Operator: Your next question comes from Rob McCarthy of Robert W. Baird.
Mick Dobray – Robert W. Baird: Hello, this is Mick Dobray sitting in for Rob McCarthy. Good morning. I’d like to sort of stick with Hill Phoenix here. Can you provide a little more color about the drivers of that business, and apparently it’s performing quite well. How do you think about it going forward? And then as a follow-up there, what is the impact of Hill Phoenix for engineered systems margins, and as that mix changes with Hill Phoenix continuing to hopefully do well, how should we think about incremental margin going forward?
Robert Livingston: Okay. So well, the first one’s a fairly broad question on Hill Phoenix, so let me try to give you some color on 2012 activity. We are seeing market growth in the North America served market in 2012. The data we would have, the latest data we would have would be through August. I don’t think we’ve seen September data yet, but the year-to-date August data would tell you that in the case business, the market’s up maybe 3 to 4 percentage points over last year. Our business has expanded this year greater than the market growth rate, and through August we think we’ve added maybe three or four points of market share. We continue to do quite well in our systems business as well as the case business. This business is very much project driven and we can see some interesting changes from year to year when you look at first half versus second half in any given year. If you look at this year in our first half, revenue at HP—at Hill Phoenix was up 13, 14% - is that right, Brad? Thirteen or 14%?
Brad Cerepak: Mm-hmm, yeah.
Robert Livingston: In the second half of 2012, it’s actually going to be down slightly versus the second half of 2011, and when I saw down slightly, 1%, 2%. But we are coming in pretty darn close, if not a bit better, than what our plan was for the year, and that’s just all project driven. You look at our prospects for 2013, and without jumping the gun because the guys at Hill Phoenix haven’t share with us their annual operating plan for ’13, but they expect and we do, too, that they would have another good solid growth year in 2013, and a lot of things going on in the market that they are participating in and winning. I guess your last question was on margins, and Brad, you’re going to have to help me. I would say that the Hill Phoenix margins are probably around the average for the segment.
Mick Dobray – Robert W. Baird: Okay. Then if I may, another follow-up – it’s more clarification on print and identification. If I’m looking at your guidance right, I guess it would imply flat revenue on a sequential basis in the fourth quarter. And if I’m right about that, I’m wondering how should we think about margin? Is roughly the 14% range still applicable on relatively flat revenue for the fourth quarter?
Robert Livingston: Okay, so help me here, Brad. I think at the top end of our range, what we have in for that segment is actually a little bit better than flat. I think it’s 1% growth in the fourth quarter year-over-year, and I don’t know—I can’t recall what the margin trend looks like.
Brad Cerepak: Well, I would just add on the margin trends for that segment and our other segments is that they’re going to follow pretty much the historical pattern for three of the four. DCT will be different, but I would expect DPI to come down slightly in the margin in Q4 based, really, on just mix of the business.
Paul Goldberg: Let’s take our final question now because I think an hour’s just about up. So can we have the final question, Paula?
Operator: And your final question comes from Nathan Jones of Stifel Nicolaus.
Nathan Jones – Stifel Nicolaus: Good morning guys. I thought we could just go back to the order trends that you saw in September there, would September normally be the softest month for orders in the quarter?
Robert Livingston: Well, you have to look at some of the parts. It is not unusual for Hill Phoenix to see September as their weakest order month of the quarter, simply because their business activity tends to soften a bit in the latter part of the year versus the first part of the year. But when you pull Hill Phoenix out of the order book and look at everything else, you typically don’t see a decline in September order rates versus July and August, and we did. As I said before, we did in three of the four segments. I’m not talking about a large number, but it was enough of a pattern there that it was noticeable.
Nathan Jones – Stifel Nicolaus: Is there some overarching theme in why you think September was softer, ex-Hill Phoenix, or is it discrete related to each individual business?
Robert Livingston: No, I’m labeling it more as a reflection of the macro environment.
Nathan Jones – Stifel Nicolaus: Okay. And if I could just get one more in on the balance sheet – your accounts payable was up a good bit, and inventory was pretty flat sequentially despite heading into a seasonally slower revenue quarter. Can you talk about what’s driving that, and if there’s any actions you’re talking to address that?
Brad Cerepak: Yes. I would say our working capital, generally speaking, was a little bit higher than we normally would have expected at this time of the year. I think it came in roughly—our calculation comes in at about 20%, and normally we’re between 18 and 19 at this stage. So a lot of that is just timing, timing on collections of receivables and timing of some of the payables. The payables are linked to our CAPEX spend, so you will see a little bit of abnormal-type move in payables, but nothing significant there. Our focus is to continue to execute on working capital in the fourth quarter, and our expectations are we’ll bring that back to our historical 18 to 19% level.
Nathan Jones- Stifel Nicolaus: Perfect, thanks guys.
Paul Goldberg: Thanks everyone. This concludes our conference call. With that, we want to thank you for your continued interest in Dover and we definitely look forward to speaking to you again next quarter. Have a good day. Bye.
Operator: Thank you. This does conclude today’s conference call. You may now disconnect. Thank you for your participation and have a great day.